Operator: Good afternoon, and welcome to the Teligent Incorporated First Quarter 2016 Results Conference Call. All participants will be in a listen only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please also note this event is being recorded. Except for historical facts, the statements in this presentation, as well as oral statements or other written statements made or to be made by IGI Laboratories are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and involve risks and uncertainties. For example, statements about the company's anticipated growth and future operations, the current or expected market size for its products, the success of current and future product offerings, the research and development efforts, and the company's ability to file for and obtain U.S. Food and Drug Administration approvals for future products are forward-looking statements. Forward-looking statements are merely the company's current predictions of future events. The statements are inherently uncertain and actual results could differ materially from the statements made herein. There is no assurance that the company will achieve the sales levels that will make for its operations profitable or that FDA filings and approvals will be completed and obtained as anticipated. For a description of additional risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission, including its latest Annual Report on Form 10-K and its latest Quarterly Report on Form 10-Q. The company assumes no obligation to update its forward-looking statements to reflect new information and developments. I would now like to turn the conference call over to Jason Grenfell-Gardner, President and CEO. Please go ahead.
Jason Grenfell-Gardner: Thank you, Daniel and good afternoon, ladies and gentlemen. Welcome to the Teligent business update covering the first quarter of 2016. I'm Jason Grenfell-Gardner, the President and CEO of Teligent; and I'm joined today by Jenniffer Collins, our Chief Financial Officer. Thank you for joining us today. A few weeks ago on our last call, I set out our core themes for 2016 with a clear focus on revenue growth, high plan execution, and product launch. By executing this plan we have just delivered our best quarter for Teligent ever. Today I will talk about our revenue model and market dynamics, our pipeline and launch strategy, and provide an update on our physical infrastructure. Jennifer will then provide further color to the financial performance of the first quarter. As you've see from our release a few minutes ago, revenue for the first quarter grew to $15.7 million, up 47% over the same period in 2015 and up 20% over last quarter. This was driven by few factors. First, the continued growth of our base business which delivered solid results for the quarter. Second, we saw our contract manufacturing business continue to perform strongly as we delivered on commitments for incremental contract business. Finally, our injectable business across North America delivered strong results which were further enhanced by competitors supply challenges and by product launches. Taken together, these elements have allowed us to create a significantly more diversified business set at this time last year. At the end of the first quarter of 2015, Teligent had 11 SKUs on the market, only in the U.S. Today Teligent has 35 SKUs in the United States and a further 34 SKUs in Canada. As a result, product concentration has dropped significantly as we have executed on our plan. And with 34 AMBS on file in the U.S. and four application pending in Canada, we will continue both to diversify our portfolio and add incremental layers of revenue into our business. To that end, we've launched two products in the first quarter in the U.S., notably cefotetan injection and lidocaine ointment, both of which I'm pleased to say are picking up good steam. In Canada, we recently received our narcotics license and have launched fentanyl injection. All of this has allowed us to deliver strong numbers for this quarter. I would note that we've seen adjusted EBITDA growth from $1.6 million in the first quarter of 2015 to $2.8 million for the first quarter of 2016. And this was achieved despite our increased spending in R&D which is why we track the metrics of adjusted EBITDA before R&D cost which grew from $4.3 million in the first quarter of 2015 to $6.5 million in the first quarter of 2016. This highlights the fundamental growth and profitability in the business even while we continue to invest significantly in the pipeline. But before I talk about our pipeline, I want to make a couple of observations about the market dynamics that we're seeing as we launched products and work in a markets. Pricing and price volatility have been much talked about in recent weeks and months. From intelligence perspective, we see two key dynamics; first, in our established markets absent exogenous events like a new market entry, we see pricing being relatively stable. The disruptions that we saw one or two years ago from consolidation on the customer level seem to have largely worked through the system. The second dynamic that we see is a return to more traditional generic markets where pricing is impacted where new players enter the market, and when existing participants have supplied disruption. To us this is a market with healthier pricing dynamics, functioning on the basis of supply and demand as we intended. For Teligent, we're the market disrupter, and we do that through pipeline execution and product launch. We filed three NDAs in the first quarter taking our total addressable market of our 34 NDA on file to one $1.5 billion. We remain on-track to file 15 NDA for the year and 8 AMDSs in Canada. In particular, I'm excited about the progress that we've made in our U.S. injectable products with a number of projects ongoing with our contract manufacturing partners. As we've talked about in the past, we're excited about the impact reduces having AMDA review times. As one of the few companies to receive a first cycle review approval under GADFU3 [ph], I think it's fair to say that Teligent has built a strong capable team for R&D and regulatory affairs that continues to deliver. With four approvals received in the past three months, I'm incredibly pleased with the work our team has performed. Dean's approval are the key to Teligent's growth, and we think of these as layers of revenue. Each approval building on the foundation of what we already have. Even though this quarter was incredibly strong, we see quarter-on-quarter sequential growth in revenue over the next three quarters of this year driven by our ability to get products approved and get them launched into the market expeditiously. To support this growth as you know, we're making significant investment in our physical plant in South Jersey. Construction has already begun on our development administration building which is now roughly 50% complete. I anticipate that we should be able to move our analytical development and research laboratories into the space by the middle of summer. For our manufacturing and operations facility, we are moving ahead in a number of parallel fronts. We've installed and begun commercial manufacturing from our new high speed two pillar, that we call the Terminator. We've ordered our long lead time equipment including our steel injectable filling line in isolater [ph] which will arrive in December. This week I was with our team at a manufacturing trade show as we negotiate our purchase orders for secondary equipment to support the site. With construction moving to the manufacturing facility in May, we're on-track to deliver our extended topical capabilities by early 2017, with incremental capabilities coming online throughout the year. It's truly an exciting time for the entire Teligent team. So you see it grew first quarter, we're on-track with our guidance for the year, we see sequential growth throughout the remaining quarters as we launch new products, and we're building the infrastructure to facilitate this growth across North America. Let me know now turn this call over to Jennifer to discuss the financial results of the first quarter.
Jenniffer Collins: Thanks, Jason. Good afternoon everyone, and again, thanks for joining us today. Our total revenue for the first quarter of 2016 with $15.7 million, an increase of 20% over the fourth quarter of 2015. And an increase of 47% as compared to the same quarter last year. Revenue for the first quarter of 2016 included $9.2 million of net revenue from the sale of our own products compared to $8.1 million in the fourth quarter last year and $8.1 million in the same period last year. Revenue from the console represented 14% of our total revenue in the first quarter of 2016 compared to 53% in the same quarter last year, and 29% in the fourth quarter of 2015. The increase in overall revenue compared to last year resulted from the expansion of our generic injectable product portfolio in the fourth quarter of 2015, partially offset by volume and price declines in the Econazole Nitrate Cream as compared to the first quarter of 2015. As we discussed on the fourth quarter call, we did see some additional pricing pressure in 4Q '15 on Econazole which we believe was caused by the new competition. And we saw that continue early into the first quarter. The data in April and March seem to indicate that pricing has now stabilized. Products sales from our contract services business were $6.2 million in the first quarter of 2016 compared to $2.4 million in the same quarter last year, and $4.8 million in the fourth quarter of 2015. We were fortunate enough to secure orders from two new customers in the fourth quarter which continued in the first quarter of 2016. We did see additional orders in the second quarter, albeit smaller than previous quarters. It's quite possible we will not see these trends continue throughout the rest of 2016 related to these particular customers. These orders were higher margin contract customers where we manufactured one of our products in a private label for each of these two customers. These orders were in addition to higher than expected orders from one of our long-term, our ex-contract customers. Contract manufacturing and formulation services revenue from our pharmaceutical customers represented 92% of first quarter revenue compared to 79% in same quarter last year. Sales of OTC and cosmetic products were 8% in this quarter compared to 21% last year. Now let me turn to gross margin; gross margin in the first quarter of 2016 was 51% compared to 53% in the same quarter last year and 45% in the fourth quarter of 2015. The margin decline over last year was a direct result of the changes in revenue and the first quarter of 2015 caused by increased pricing of Econazole Nitrate Cream which started in September of 2014 as compared to price decline throughout the remainder of 2015 and into the first part of this year for that same product. As we've talked about in the past, our strategy is to build a diversified portfolio of Teligent products in the U.S. and now Canada as well, so that we're able to compete and respond to changes in the market dynamics on individual products. The diversified portfolio also protects us from dependence on one or two products. It's important to know we were able to grow tellers and sales, approximately 14% percent over last year and decrease our product concentration risk as compared to last year. In addition, in the first quarter of '16, sales of injectable products represented just over 30% of our total revenue as compared to 15% in the fourth quarter of 2015 and 0% in the same quarter last year. We successfully launched cefotetan injection, our first injectable product launch from the portfolio acquired from AstraZeneca, as well as lidocaine ointment 5% at the end of the first quarter. Our cost of goods sold also included $343,000 of the write-off of the inventory step up which we've recorded in the fourth quarter of 2015. At March, there was less than $200,000 remaining in the inventory step up that will be included in cost of goods sold in the second quarter of this year. This non-cash absorption of the step-up in the inventory have and will have a temporary impact on margins in the fourth quarter and the first and second quarter of this year and then will be fully absorbed. SG&A in the first quarter of 2016 was $3.4 million compared to $1.9 million in the same quarter last year. SG&A in the first quarter of 2016 includes amortization of $0.7 million compared to $30,000 in the same quarter last year. The increased amortization resulted from our acquisitions in the fourth quarter of 2015. SG&A as a percentage of sales for the first quarter was 22% compared to 18% in the same quarter last year. We do plan to make some additional investments in the corporate services group that will support the growth of our business in 2016 and beyond. So we expect SG&A as a percentage of revenue to be flat to down, dependent on the range of total revenue. Consistent with our take out strategy and our dedication to building a foundation to expand our product portfolio, we continue to invest significantly in R&D. We invested $3.7 million in first quarter of this year compared to $2.6 million last year. We filed 15 NDA's in 2015 compared to 11 in 2014, and we expect to file at least 15 this year in the U.S. and 8 more filings in Canada. We still expect R&D expenses in '16 to range between 28% and 32% of top line revenue. We understand this is high [ph] industry but based on the opportunities we see in our core markets, as well as the increased pace of responses from the FDA, we think it's necessary to continue to make these investments as quickly and strategically possible. For the fourth quarter - for the quarter ended March 31, 2016, net cash provided by operations was $2.8 million which included $3.7 million of R&D expenses. For the quarter ended March 31, 2016, cash used in investing activities was $2.9 million, primary related to capital expenditures incurred related to our expansion of our facility in Grainne [ph], New Jersey. We expect the final budget for this to facility expansion including necessary equipment utilities and purchase controls for the increased topical production and new sterile still unfinished suite to be between $45 million and $50 million. We'll continue to update you on our progress on this front throughout the rest of the year. We hope to have this expansion completed before the end of 2017. In the first quarter of 2016 we recorded a net loss of $1 million compared to net income of $6.6 million in the same quarter last year. The decline in net income compared to last year includes a few components. As you may recall, we issued $143.75 million, 3.75% convertible senior notes in December of 2014. Net income in the first quarter of '15 included a non-cash gain of $8.6 million related to the accounting of the mark-to-market of a derivative liability. Our net loss this quarter included a gain related to the foreign exchange in the amount of $1.6 million. As you may recall, when we completed the Alveda acquisition, we established Teligent subsidiaries in Canada and Estonia to complete the purchase. The transaction was funded by Teligent U.S. primarily through the establishment of inter-company loans to these wholly-owned subsidiaries. The loans were originated in U.S. dollars and are held in Canada and Estonia in their local currencies. The original loans totaled $4.6 million in Canada and $28.2 million Estonia payable in U.S. dollars. As a result of the fluctuation in foreign exchange rates during the first quarter of this year, we recorded a non-cash gain in the amount of $1.6 million related to the foreign currency translation of these inter-company loans to our wholly-owned subsidiaries. Depending on the changes in foreign currency rates going forward, we will continue to record a non-cash gain or loss on this translation for the remainder of the term of these loans which are due in 2022. Due to the nature of the transactions, there is no economic benefit to the company to hedge this transaction. For the quarter ended March 31, 2016, net loss included amortization of intangibles of $705,000 and depreciation of $174,000 as compared to amortization of intangibles of $30,000 and depreciation of $143,000 in the same period last year. The increase in amortization related to the acquisitions we completed in the fourth quarter. And finally, we increased our R&D spend by $1.1 million compared to last year to support our TICO strategy. Our financial guidance for the year includes R&D spend of 28% to 32% of our top line. Our net loss in the quarter includes $2.0 million in non-cash interest expense, primarily related to the amortization of the discount related to our convertible note. Non-cash interest in the same quarter last year was $1.8 million. We believe it's helpful too - for investors to review our adjusted EBITDA numbers, earnings before interest, taxes, depreciation and amortization, as well as our adjusted net income. As you've seen in our press release, non-GAAP disclosure related to how we calculate EBITDA and adjusted EBITDA and adjusted net income are included in the schedules in the back. We will continue to provide this information as long as we determine it to be helpful to investors to monitor the operations of our business, excluding certain items as outlined in the table. Our adjusted EBITDA in the first quarter was $2.8 million which was after our R&D spend of $3.7 million. We don't have the opportunity to meet some of you over the next month, May is a busy month for our investor conferences. We'll be at Deutsche Bank in Boston, The Bank of America Merrill Lynch Healthcare Conference in Las Vegas, the ROTH Capital one-on-one day in New York City, and Craig-Hallum's conference in Minneapolis. We also have our Annual Meeting scheduled on May 25th at 10 a.m. in New York City. Our presentations of the investor conference will be webcast on our website teligent.com. for those of you who unable to attend. Jason and I are grateful for your patience and look forward to updating you soon. Hopefully, seeing you in an upcoming conference. I'll now turn the call back to Jason for his closing rocks.
Jason Grenfell-Gardner: Thanks Jenn, and thanks for those comments. Let me know now open up our call for questions. Daniele?
Operator: [Operator Instructions] The first question comes from Matt Hewitt of Craig-Hallum. Please go ahead.
Matt Hewitt: Good afternoon. Forgive me, I didn't see any press release and I may have missed it on the call and guidance. Did you update your guidance for the fiscal year or where does that fit at moment. I heard you mentioned, sequentially up every quarter for the next three quarters but where is the full year set?
Jason Grenfell-Gardner: We are still confirming our guidance for the year as we gave on our call four weeks.
Matt Hewitt: Perfect, okay. Secondly, since the launch - obviously there was - I think some uncertainty given at the market had been out of the - or the product had been out of the market for an extended period of time, and shortages, and all that. What has been your experience since the launch?
Jason Grenfell-Gardner: Yes, product have started to flow through, obviously there was a little bit of demand that was out there already. And we've seen a little bit of sell through and stocking into the channels and moving into the hospital and to end users. So if going - it's a process but we're pleased with how it's going so far.
Matt Hewitt: Okay, great. And then. I guess regarding the lidocaine launch, what has been your experience? Obviously that was I guess against a normal functioning market if you want to call it that. Have you been able to get on the same contract? How the pricing dynamics worked so far any color on that would be helpful.
Jason Grenfell-Gardner: Yes, we do have a contract physicians, I think we're pleased with the way that the launch is gone. It is on obviously a very competitive market. There are now five suppliers in a market in a universe where customers are very consolidated. But our team has done a great job of getting us where we wanted to be. So we're pleased with that.
Matt Hewitt: Okay, great. Maybe one more from me and then I'll hop back in the queue. As you look out over the course of Q2 and for the remainder of the year, what type of cadence and I know that you're just starting to get some ideas about how the FDA is working but what kind of cadence are you anticipating or expecting from an approval standpoint, not necessary a launch, but from an approval standpoint?
Jason Grenfell-Gardner: Yes, from an approval standpoint, again, it's sort of two halves to this, right, there are pre-GDUFA Year 3 and post-GDUFA Year 3 filings. So in terms of the pre-GDFUA Year 3 filings, and we talked about the target action dates that we have on those products. What we've seen is a combination of I think responses from FDA with respect to those target action dates. Often as you approach those target action dates that does prompts some level of activity at FDA. But some of that activity, frankly, has come back from the FDA with them saying, look we're not going to meet our deadline so we're going to move it out 30 days. But I think just the fact that we're seeing that activity and that accurate review, the files are being picked up and process is positive. So we still feel good about that. With respect to the post GDUFA Year 3 filings, there are a couple of filings there where we know that we're waiting for - some action would be taken with respect to an API supplier. So those are ongoing and sort of. Circling, we're just waiting for various bits of that to get done. And then really, you've got to look probably at the - into the third quarter to sort of see a bigger uptake in some of these getting processed. And that's just because of the timing that they were filed. So that's sort of how we see it today.
Matt Hewitt: Okay, great, thank you. I'll hope back in the queue.
Operator: The next question comes from Greg Gilbert of Deutsche Bank. Please go ahead.
Greg Gilbert: Good afternoon, not a couple of model ones to start. First, Jennifer can you help us with the sales from the Alveda to products in Canada in the quarter?
Jenniffer Collins: In terms of the break out?
Greg Gilbert: Yes.
Jenniffer Collins: The total sales channel in Canada for the first quarter were in U.S. dollars just $2.2 million.
Greg Gilbert: And how about the gross margin on contract services in the first quarter, that's something you have handy?
Jenniffer Collins: On contract services alone was just about 40%.
Greg Gilbert: Thanks. Your comments on the pricing environment, perhaps I misheard you but it's sounds like a whole lot of nothing new. Am I missing something there?
Jason Grenfell-Gardner: I don't know if you're if you're missing something or there is a sort of general sense of how pricing is has changed over the course of the past few years. For me, I sort of take it as you say it, I don't know the - we see if there is much new, much going on in terms of the environment but as we've seen in the comments over the course of the past, really over the course of the past few weeks moving into this earnings season, there is obviously been a lot of trepidation generic pricing and we don't see it, we don't share that trepidation. We think we have fairly stable markets and we see that - look, I mean when competitors enter markets we will see erosion. And I'm sure when we enter markets, people expect the same thing and when people have supply disruptions and supply constraints, we see price move in the opposite way. And it seems that in all of this concern about the pricing environment that you people have forgotten that these markets are still relatively stable and sane.
Greg Gilbert: And maybe that's some of the larger companies with broader portfolios are going through bid cycles that you might not have to go through or is that a possibility, some of the larger players suggested that there are some pretty important readouts in terms of bid cycles in April, is that an industry phenomenon or a company by company phenomenon?
Jason Grenfell-Gardner: I couldn't really comment on what other people are going through, certainly in our universe we don't see that, at least not as much. I believe people have seen some response from the cash center RFP Earlier this year. But you look at the two other - sort of major groups there in terms of we've haven't seen a bidding process there. But I think there is a fundamental difference between companies that have larger installed portfolios, and companies like Teligent that have been doing R&D in development and are launching products. I think we face slightly different dynamics.
Greg Gilbert: And then, perhaps it's premature to ask you this with your injectable portfolio being immature, but to what extent do those big bad buying consortia even deal with injectable products?
Jason Grenfell-Gardner: We don't really those consortia dealing with them but we do of course see the group purchasing organizations. So the supreme are the world - I can never remember the new innovation named for some reason, it hasn't stuck in my brain yet. And of course those organizations function pretty strongly with injectable.
Greg Gilbert: And my last question is, whether you're considering any meaningful business development activity over the next year or so, and if so what it would look like or have to address for you to consider it?
Jason Grenfell-Gardner: I would say that this year just based on the current climate we're focused on execution. We have a lot of stuff to do, we've got a lot to deliver in terms of the pipeline, the physical plant, and that's the key to what we're doing right now. If there are some product opportunities or some things that fit neatly into topical injectable ophthalmic, obviously we look at those assets, we look at those things but I think you it has to be compelling not to be a distraction to the execution of the core business model.
Greg Gilbert: Thanks guys.
Jason Grenfell-Gardner: Thank you.
Operator: [Operator Instructions] The next question comes from Donald Ellis of JMP Securities. Please go ahead.
Donald Ellis: Thank you, and good afternoon. Just a couple questions, sort of clarification. Jenniffer, when you mentioned he you sequential growth in revenue; second, third and fourth quarter this year. Is that including the contract manufacturing line? Was that generic sales or total revenue you were referring to?
Jenniffer Collins: The reference was to total revenue.
Greg Gilbert: Great, thank you. And then gross margins, 51% in the quarter, is that a reasonable number for us to use for the rest of the year?
Jenniffer Collins: I think our guidance for the full year saw 52% to 55% on a full year basis. So depending on the product mix and a quarter-by-quarter basis, there will some fluctuation in margins but we've have confirmed the guidance there with that 52% to 55%.
Greg Gilbert: Great, okay. Thank you very much.
Operator: The next question comes from Rohit Vanjani of Oppenheimer. Please go ahead.
Rohit Vanjani: Hi, afternoon, thanks for taking the questions. For R&D do you expect that to significantly ramp into 2Q or the back half for the year?
Jenniffer Collins: Yes, the second quarter will probably be the largest R&D quarter for us, just by debt, that line is really driven for us by the outside testing that we do, particularly with the vasoconstriction studies. And with the timing of the batches for this year, it will be - a lot of the studies will take place in the second quarter. So if you kind of do the math for 28% to 32%, we still have a lot of money to spend in R&D for the rest of the year. So it will definitely be greater and remaining quarters under $3.7 please spend this quarter.
Rohit Vanjani: Okay. And then, can you - you mentioned the competitor supply challenges. Can you saw what market that was in or were you referring [ph]?
Jason Grenfell-Gardner: We've seen, I'm mean we've seen in the injectable markets, both in Canada and in the U.S. that there are continuing sporadic shortages on an individual competitive level. I wouldn't want to pull any of them out specifically but certainly that has a couple of impact, obviously. It. certainly drives revenue but it also drives more of that trade happening at list price or also acquisition costs rather than a contract price. So that's favorable overall for margin.
Rohit Vanjani: Okay. And what about in the topical space, are you seeing as many competitors challenges there or it's mostly in injectable space that you're referring to?
Jason Grenfell-Gardner: Really mostly in the injectable space. We haven't seen - I don't think if the caused any major challenges and supply in the topical market.
Rohit Vanjani: And then can you speak to the timelines of the six GDUFA goal dates and the nine tabs that you have in 2016? I think you mentioned the GDUFA gold dates in 2016 are going to be 3Q and beyond with the teds.
Jason Grenfell-Gardner: Yes, the tads are a little bit more uniformly distributed. We've got tads throughout all of the quarters but what I would say again, back to the comments that I made earlier regarding that, is that there are - while tads are a great indication that something may happen. It's not always definitive.
Rohit Vanjani: But did I get that right, the GDUFA goal date is mostly in the back half?
Jason Grenfell-Gardner: Yes, I think that's correct.
Rohit Vanjani: Okay. And then Jen I missed what you said about the pricing pressure that you did see for Econazole, then you saying that there was pricing pressure in 1Q but then you saw that stabilize in 2Q, I'm sorry in the first month but then you saw it stabilize in February and March?
Jenniffer Collins: That's correct, Rohit, we did see that start really in December and it continued into the early part of the first quarter, and then the data from March and April seems to indicate that it's now stabilized.
Rohit Vanjani: Okay. I think the last one for me is, and this was kind of alluded to before but, for your contracts, I mean how does that work? Is it the case that most of your contracts are renewed at the beginning of the year so that if you were to see pricing pressure it would be kind of these one-off rovers or something like that or are your contract staggered?
Jason Grenfell-Gardner: I mean in most of this and I think this is true with most people in our industry. For retail based pharmaceuticals, most of these things are on a sort of at-will basis and they come and go as the competitive environment evolves. For the sterile injectable market and the hospital market, there are usually two to three year contracts that roll on bit cycles. However, because of the issues of drug shortage and the fact that we have some critically necessary drugs, the GPOs have been keen to dual source at a minimum, most of those drugs, and we have I think strong physicians across the portfolio.
Rohit Vanjani: Okay, great. Thanks for taking the questions.
Jason Grenfell-Gardner: Thank you.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to our Jason Grenfell-Gardner for any closing remarks.
Jason Grenfell-Gardner: Okay, thanks Danielle. Teligent really evolved over the past few years and the investments that we made in our pipeline and our infrastructure are really beginning to bear fruit. I want to thank you for your support and for your interest in Teligent. As Jenniffer said, we very much look forward to seeing some of you at the upcoming conferences. And I would remind you again, that our annual meeting will be held in New York City on May 25, it would be great to see you. Thank you again, and have a great evening.
Operator: The conference has now concluded. Thank you for attending. You may now disconnect.